Operator: Good morning and welcome to the CBOE Holdings first quarter 2015 conference call. [Operator Instructions] I would now like to turn the conference over to Debbie Koopman. Please go ahead.
Deborah Koopman: Good morning and thank you for joining us for our first quarter 2015 earnings conference call. On the call today, Ed Tilly, our CEO, will provide an update on our strategic initiatives for 2015. Then, Alan Dean, our Executive Vice President and CFO, will review our first quarter 2015 financial results. Following their comments, we will open the call to Q&A. Also joining us for Q&A is our President and COO, Ed Provost. In addition, I'd like to point out that this presentation will include the use of several slides. We will be showing the slides and providing commentary on each. A downloadable copy of the slide presentation is available on the investor relations portion of our website. As a preliminary note, you should be aware that this presentation contains forward-looking statements, which represent our current judgment on what the future may hold, and while we believe these judgments are reasonable, these forward-looking statements are not guarantees of future performance and involve certain assumptions, risks and uncertainties. Actual outcomes and results may differ materially from what is expressed or implied in any forward-looking statements. Please refer to our filings with the SEC for a full discussion of the factors that may affect any forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise, after this conference call. Now, I'd like to turn the call over to Ed Tilly.
Edward Tilly: Thank you, Debbie. Good morning and thank you for joining us today. Despite the first quarter's challenging volume conditions, we made significant progress in expanding our suite of premium index products. We secured the rights to trade numerous Russell and FTSE Index products at CBOE, began exclusive trading in Russell 2000 Index options, and launched options on two well-known MSCI benchmarks. We also expanded our global customer reach with extended trading hours for SPX and VIX options. I'll discuss more about these developments, after a brief update on volume. Our first quarter results reflect the impact of lower trading volume experienced at CBOE Holdings and industry-wide, as well as a difficult comparison to last year's record first quarter results. Overall, CBOE Holdings' volume fell 15% in the first quarter compared with the same period in 2014. The decline generally mirrored trading levels in futures and options industry-wide, with the exception of a sharper decrease in VIX options. At the time of our last call, we saw the flattened term structure as the primary factor weighing on VIX options trading, while at the same time SPX option volume was setting new records. Term structure was certainly a factor at that point, but there was a larger change occurring with regard to investor sentiment. Many risks that investors were concerned about, falling oil prices, deflation, global economic slowdown, political unrest overseas, seemed to be resolving; and more local risks, such as the Fed's plan to raise interest rates, kept getting pushed farther into the background. Traders came to regard sharp drops in the market as buying opportunities rather than signaling a new bear market. What makes volatility trading, whether its VIX options, VIX futures, ETN volatility contracts and OTC VIX options, a compelling risk management tool is that it tends to work especially well as a hedge against sharp market declines, often referred to as tail events. In the absence of real concerns about a sharp, sustained market pullback, it makes sense that traders would find fewer uses for volatility products and use other index options, such as SPX options for directional exposure to stock prices. I should note that SPX volume was up 1% in an otherwise down quarter. Nothing we learned about the current lull in trading has caused us to alter our expectations or strategic initiatives related to the ongoing, long-term growth in VIX options trading. Buy-side customers and sell-side brokers alike, generally expect volume and open interest to pick up, as market conditions change. We see the decline in VIX options volume as generally cyclical rather than structural. We have seen cycles like this before, they're part of trading. And while we don't like them, we expect them. In the meantime, an ongoing disciplined approach to cost-management enables us to weather the inevitable volume troughs, while continuing to lay the foundation for future growth. As a result, CBOE's forward progress is undeterred, despite current volume challenges. We're particularly enthusiastic about the recent progress made to advance CBOE's ongoing index growth story. I'll look at that here through the lens of CBOE's unique position and our innate ability to collaborate, connect and create. Thus far in 2015, CBOE leveraged new partnerships with index providers to significantly expand and diversify our premium index product line across new assets and markets. The products resulting from these agreements create new trading opportunities for our customers and pave the way for new volatility indexes as well. Our December 2014 licensing agreement with MSCI made CBOE the sole U.S. exchange to trade options on several MSCI indexes. Our recent launch of options on MSCI EFA and Emerging Markets indexes brings an added global dimension to our index options franchise, and introduces new trading opportunities across our unique product set. Last year, nearly 100 million options traded industry-wide on the popular EFA and EEM ETFs. Our ability now to also offer cash-settled European-style options on these indexes will especially appeal to institutional customers. We created additional trading opportunities by aligning the option settlement times to match the futures trading on the indexes. Last quarter we also entered into an exclusive licensing agreement with the London Stock Exchange Group, making CBOE the exclusive provider for listed cash-settled options on more than two dozen FTSE and Russell Indexes, including the flagship Russell 2000 and FTSE 100. As you know, CBOE previously traded Russell 2000, RUT options, on a semi-exclusive basis. In 2014, RUT options were CBOE's third most actively traded index option, trailing only SPX and VIX options. Over 12 million RUT contracts traded at CBOE and C2 and more than 22 million contracts traded industry-wide. Under the new agreement, CBOE became the sole provider of RUT options on April 1, and we now look forward to launching FTSE 100 index options as well as other Russell and FTSE products, later this year. The addition of MSCI, FTSE and Russell options to a product suite anchored by SPX options and VIX futures and options, enables customers to hedge and trade global volatility, the global stock market, the broad U.S. stock market, the U.S. small cap market, European and Asian international equities and the world's emerging markets at CBOE. These products are often used in tandem, which creates additional trading opportunities. Each index enables us to create related volatility options and futures using our VIX methodology, thereby growing our VIX product line and offering still more trading possibilities. We believe these trading synergies will foster a further concentration of index traders and liquidity at CBOE, while enabling us to leverage significant cross-marketing efficiencies. We continue to expand CBOE's customer reach, domestically and abroad, through customer engagement, investor education and a broadened access to our marketplace. Education goes hand-in-hand with product innovation at CBOE. Each new product is supported by new educational content, allowing us to form new connections with an existing customer base. Our exclusive agreements with S&P, LSE Group and MSCI, in parts were predicated on CBOE's educational expertise and ability to efficiently connect with index customers globally across a range of channels, including The Options Institute, CBOE TV, CBOE.com, CBOE's social media platform and CBOE's Risk Management Conferences, RMC. I should note here that this year we are expanding our RMC program beyond the U.S. and Europe, with the first RMC in Asia. RMC showcases our premium index products and attracts sophisticated and influential market participants who tend to be early adopters of CBOE's products and services. I am pleased to say we made it easier for customers to connect to CBOE by further increasing access to our premium products. In early March we extended trading hours in VIX and SPX options with an additional session that runs from 2:00 AM to 8:15 AM Chicago time. The new session enables overseas customers to access VIX and SPX options during local trading hours and satisfies the stateside demand for additional trading time. In other VIX news, I am pleased to announce that, pending regulatory approval, we plan to introduce Weekly VIX options and futures at CBOE and CFE. We plan to launch the futures this July, with the options to follow. The new VIX Weeklys products will complement VIX futures and options, the same way that SPX Weeklys complement our standard SPX product. VIX Weeklys will also respond to customers who tell us they are looking for volatility exposures that more precisely track our benchmark VIX Index. The closer VIX futures and options are to expiration, the closer they track VIX. By filling the gaps between monthly expiration, we are providing investors with 40 new opportunities to establish short-term VIX positions, and fine tune the timing of their hedging and trading activities. For the first time, investors will be able to trade expiring VIX and SPX contracts each week, which we believe will create even more trading opportunities. CBOE's ability to collaborate, create and connect with the marketplace has created a unique culture of innovation, not only in product development, but also in trading technology. Systems development is deeply embedded in our value proposition. While every exchange aims for faster, more efficient trading technology, CBOE's systems have always been uniquely developed in-house to power innovation. I am pleased to announce today that development of the next generation of trading technology is currently underway at CBOE. The new platform, called CBOE Vector, is designed to provide streamlined access to the most comprehensive array of options and volatility products in the world, and to the deep liquid markets in which they trade. We are leveraging our in-house trading and technology expertise in building a customized state-of-the-art platform that responds to the trading needs of our customers and that best supports CBOE's unique product set. We have supplemented our experienced systems team with top developers in our space to ensure that every aspect of CBOE Vector is on the cutting-edge and that we have the bench strength needed to drive the optimal performance of our current system, CBOE Command, throughout the completion of the new platform. Incorporating input from customers, we are developing an advanced architecture that delivers best-in-class functionality, low latency, ease of use and trading efficiency. The new platform will be engineered to provide greatly increased transaction speeds, while handling constantly increasing message traffic and industry demand for additional functionality, such as risk controls. The build out for CBOE Vector calls first for the implementation of new systems for CFE, which we plan to be up and running in the second half of 2016, with CBOE and C2 to follow. Ed Provost can provide more color on our new platform in Q&A, but I want to stress here that CBOE Vector is integral to our ongoing index story. We view it as both a state-of-the art trading platform and engine for growth, designed for maximum flexibility and scalability, enabling us to quickly respond to a rapidly changing marketplace and to efficiently roll out new products and trading opportunities. I will close here with a graphic representation of the opportunities created by our progress already in 2015. We expanded our proprietary product offering to cover new asset classes and regions around the world, increased trading hours to improve global access and extended our global customer reach. Importantly, we also enriched CBOE's unique eco-system for the development and support of new tradable index products going forward. More than any one product, CBOE's unique value proposition to our customers, shareholders and index-provider partners lies in our ability to optimize the utility of new and existing index products through unrivaled options and volatility trading opportunities, educational expertise, an efficient network of customer outreach channels, deep liquid markets and customized trading technology. This comprehensive approach to a singular area of focus has fostered a multitude of new opportunities for CBOE in 2015 and beyond. We look forward to providing updates in the months and quarters ahead. With that, I'll turn it over to Alan.
Alan Dean: Thanks, Ed, and good morning, everyone. I will start this morning with a review of our results for the quarter, and then I will wrap up with some comments on our focus for managing expenses and capital allocation going forward. CBOE's first quarter results reflect the downturn we saw in trading volume both year-over-year and sequentially. Operating revenue came in at $142.8 million, 10% below last year's first quarter. Adjusted operating income was $69.5 million, representing an adjusted operating margin of 48.7%, a decline of 490 basis points compared against our all-time high of 53.6% in the first quarter of 2014. Adjusted net income allocated to common stockholders was $42.3 million, a decrease of 15% versus the first quarter of 2014, resulting in adjusted diluted earnings per share of $0.50, a 14% decline compared with $0.58 per share for the same period last year. Before I continue, let me point out that our GAAP results reported for the first quarter of 2015 and 2014 include certain unusual items that impact the comparison of our operating performance. These items are detailed in our non-GAAP information provided in the press release and in the appendix of our slide deck. All the numbers I will be referencing are on a non-GAAP basis. Now, let's review our results in more detail, starting with operating revenue. As shown on this chart, the decrease in operating revenue was primarily driven by lower transaction fees. Transaction fees decreased $14.1 million or 12% compared with the first quarter of 2014, reflecting a 15% decrease in trading volume, offset somewhat by a 3% increase in the average revenue per contract or RPC versus last year's first quarter. Trading volume declined year-over-year in each product category. Equity options were down 17%, options on exchange-traded products fell 9%, index options decreased 20% and futures contracts were down 8%. Our blended RPC, including options and futures, increased to $0.34 from $0.329 in last year's first quarter. The increase in RPC primarily reflects the net impact of higher RPC generated on index options and futures contracts, offset somewhat by a shift in the mix of trading volume towards lower-margin, multiply listed options. The RPC in our options business increased to $0.284 compared with $0.281 in the first quarter of 2014, reflecting a 6% increase in the RPC for index options and a 1% increase for options on exchange-traded products, primarily resulting from fee adjustments made this year and lower volume discounts and incentives. The RPC for equity options decreased by 5% year-over-year and increased by 13% compared with the fourth quarter of 2014. The sequential increase in the RPC for equity options is due in part to fee changes implemented for 2015. While we also saw a decline in market share due to these fee changes, it was share that was low-to-negative margin for CBOE. Revenue per contract at CFE, our futures exchange, increased 5% to $1.70 from $1.62 in last year's first quarter, as a result of fee changes and lower volume rebates. With respect to the shift in volume mix, multiply listed options represented 66.7% of total contracts traded in the first quarter, up from 65.3% in first quarter of 2014. Despite the shift in the mix of volume, transaction fees generated from our proprietary products represented a higher percentage of our total transaction fees year-over-year. In the first quarter, index options and futures contracts accounted for 81.3% of our transaction fees, up from 81% in the first quarter of 2014, driven by the higher contribution from futures contracts. Looking at some of the other factors influencing operating revenue, access fees declined by $1.5 million, reflecting a decrease in trading permits. Regulatory fees were also down by $1.5 million, which is attributed to lower trading volume industry-wide as well as the elimination of regulatory fees related to CBSX, our stock exchange, which ceased trading in 2014, and a lower rate for our options regulatory fee compared with the first quarter of 2014. On the plus side, other revenue increased by $900,000, primarily due to higher fines assessed to trading permit holders for disciplinary actions, which can only be used to offset regulatory expenses. In addition, market data fees increased by $900,000, primarily as a result of higher revenue from CBOE's market data services, reflecting an increase in subscribers and rate adjustments. Turning to expenses, this next slide details total adjusted operating expenses of $73.3 million for the quarter, unchanged compared with last year's first quarter. Operating expenses for the quarter reflect the net impact of lower costs for compensation and benefits and royalty fees, offset by higher costs for professional fees and outside services, depreciation and amortization and technology support services. There were no adjustments to operating expenses in the first quarter of 2015. Core operating expenses of $47.9 million were also relatively flat year-over-year, with an increase of $200,000 or 1% compared with the first quarter of 2014. The increase in core operating expenses primarily reflects increases of $4.6 million in professional fees and outside services, $600,000 in technology support services and $500,000 in travel and promotional expenses, offset by a decrease of $5.4 million in compensation and benefits. The decline in compensation and benefits largely reflects lower expenses related to salaries, stock-based compensation and the provision for incentive compensation. The increase in professional fees and outside services as well as the decrease in salaries is primarily attributed to the company's outsourcing of certain regulatory services to FINRA, which occurred in December of 2014. In response to current trading volumes, we are taking steps to cut or delay certain expenses and capital projects, as we have done during previous volume downturns. Based on our cost reduction initiatives and year-to-date results, we are lowering our guidance for core expenses to a range of $190 million to $194 million from our previous guidance of $195 million to $199 million. While disciplined cost management is a continuous focus at CBOE, when volumes decline, we push even harder to realign expenses against revenue. With that said, we will remain diligent in our efforts and will look to reduce expenses further if volume continues to languish. Conversely, I would look to wind down some of the cost reductions, when I see a sustained improvement in volumes. Looking at volume-based expenses, royalty fees decreased by $1.7 million or 11%, reflecting the decline in trading volume for licensed products, which include index options and VIX futures. On our last earnings call we told you that we expected the rate per contract for royalty fees to be $0.14 for the first quarter and $0.15 in the following quarters. The rate per contract came in higher at $0.146, due to a shift in the volume mix among licensed products. Looking out to subsequent quarters, I would expect a continued divergence in the rate per licensed contract, if the volume mix stays the same as it was in the first quarter. However, if the volume mix is more aligned with what we saw in 2014, I would expect the rate to be closer to our guidance. Turning to the balance sheet. We finished the quarter with cash and cash equivalents of $138 million compared to $148 million at the end of December. The decrease in cash compared to yearend primarily reflects cash used for share repurchases, dividend payments and funding our share of the contribution to the OCC capital plan. Our business continues to generate a significant amount of cash. Through March, we generated net cash flows from operating activities of over $78 million versus $88 million in the same period last year. This decrease primarily reflects lower net income. In the first quarter of this year we used nearly $18 million to pay dividends and another $34 million to repurchase our stock. At March 31, we had approximately $58 million available under our share repurchase authorization. We will continue to be opportunistic in our share repurchases and look for sustainable growth in our annual dividend payments. Capital expenditures through March were $8 million. I look for capital spending to pick up in the back half of the year, so we are reaffirming our guidance for capital expenditures of $37 million to $40 million for the full year, which takes into account the development of our new trading platform. Against that backdrop, it is important to point out that our guidance for both capital expenditures and core expenses now reflects the addition of a major new project, which was not included in our prior guidance. We are very disciplined in how we use our cash, particularly given the current headwinds we are facing. However, our priorities regarding the use of cash have not changed. Our first priority is to reinvest in our business to drive future growth, as evidenced by our plans to invest in a new trading platform. After that, we expect to return our free cash flow over the long-term to investors through a combination of dividends and share repurchases. While the near-term environment is challenging, we have encountered business downturns in the past and historically have always emerged even stronger. Our entire team is confident that our focus on managing expenses, while investing in future growth, will create long-term value for our market participants and shareholders. With that, I will turn the call back over to Debbie.
Deborah Koopman: Thanks. At this point, we will be happy to take questions. We ask that you please limit your questions to one per person to allow time to get to everyone. Feel free to get back in the queue, and if time permits we'll take a second question.
Operator: [Operator Instructions] And our first question comes from Rich Repetto from Sandler O'Neill.
Rich Repetto: I guess, I since I have one question, it has to be a follow-up on the comments on sort of the cyclical and secular debate on the volume. I guess, the question is, is there any other evidence, a survey at customers, or anything like that, because it appears what you're saying then is that the volume growth, at least, in the VIX options was related to just this tail hedging. And I guess the other right along with this is at this environment, I'm not sure what's normal or abnormal? Whether past year or right now is normal going forward?
Edward Tilly: Well, it's a long answer, Rich, and I'm glad you asked it, because not surprising to you, I'm sure, is we've spend a great deal of time looking at VIX options, and you know our relationship with the trading community, we're able to really dig deep, and really have our biz development guys, and our research guys go out and ask our best customers, what do you see, what's going on, what's trading, what's not trading and why? And I think importantly all that dialog, we've heard nothing that would imply structural problem or contract design flaw. But in order to better understand really the entire VIX option decline, I think it's important to put that in context. This is a quarter, where overall industry volume was down 9%. So our time with the buy and the sell-side customers, they made comments like volume maybe moving from listed to OTC, your regulatory changes, big changes in January forced banks to increase their capital reserves, and then some other smaller comments. But the one factor that we heard more and more and over and over cited the most consistently was just overall complacency in the market. As for the two comments that I mentioned, we actually benefit from a robust market for OTC VIX options. The layoff business comes to our floor that drives volume in the listed market. And unfortunately, we're told that the OTC VIX options activity is down as well. As for changes in bank capital requirements that might be affecting overall industry volume, they are not specific, so we kind of discounted that. And then in the prepared remarks, we made comments that we've seen volume down in ETF and ETN volatility options, our VIX options are down, OTC volatility options are down. And without the absence or really with the absence of concerns about a real sharp sustained market pullback, VIX in all of these volatility option contracts continue to suffer. We've seen perceptions change overnight. That's not unusual for us, but the go-to-contract and strategies for tail risk hedge are just now working in this environment. So what do we do? We're committed to the business development efforts. We're going to continue to grow the base of VIX users for futures and options. And when sentiment changes, and it always does, we'll have a larger base, better informed base, and we'll see the volumes return.
Rich Repetto: You were well prepared for my question.
Edward Tilly: Well, Rich, we were looking at this for a quarter or actually for the last two months, and this is really appropriately on everyone's mind.
Operator: Our next question comes from Patrick O'Shaughnessy of Raymond James.
Patrick OShaughnessy: I want to talk about some of the new products that you've launched over the few months, the FTSE, the MSCI. Can you talk about what the sales process and cycles like to try to get new customers to trade those products, because clearly it's still very early, there 's not much of interest yet in some of those products. Kind of what's the process like and what are your expectations?
Edward Provost: Of course, we have out product of FTSE contracts yet. MSCI is a product, which appeals to the same set of institutional investors that we reach out today. So whereas when we talked about the volatility options on the 10-year bond and going to a whole different set of users, that was and will continues to be a challenge, because it's a different rolodex than we have been dealing with historically. MSCI, and when we bring up the FTSE contracts, those are going to be people that we have and continue to be engaged with. It is a combination of face-to-face engagements with all segments of the institutional community and we look at these primarily as institutional products, so that would include hedge fund, managed money, mutual funds and people like that and we do those in various environments ranging from again direct one-on-one visits. We are engaged with them at conferences where we participate as speakers and as sponsors. And then of course, as we often refer to in our own Risk Management Conference, which is a continually expanding proposition. We get a real captive audience of all of the natural users of our index products. So it's more of the same on those products, again contrasting those net set of products with the volatility products, which we have launched, it's tied to the CME product where your user set is quite a different group of users. So it's all of the kinds of education engagements that we have been conducting routinely and VIX and SPX will apply to those products as well.
Edward Tilly: Just following-on as far as new products, we're actually looking at the launch of the VIX Weekly as a new product launch. This really is a true weekly contract based on the 30-day number. So we're looking forward to launching that futures contract and then options to follow. That will take a more a real house rollout of a product, if you will, because it's an extension of a weekly on a very well-known 30-day contract. So a lot in the pipeline; can't wait to get that weekly contract launched. And really, again, go at the short-term demands from our customers to have a weekly volatility contract.
Operator: Our next question comes from Michael Carrier of Bank of America Merrill Lynch.
Michael Carrier: Just wanted to follow-up. Just on, I guess the CapEx and just your thoughts on the trading platform. Just wanted to make sure we understand based on that initiative, the timing of it, maybe the resources, and then how we think about like the current cash, the cash generation, and then what you guys have been doing, say, over the past couple of years in terms of buyback levels and the dividend and the increase feature.
Alan Dean: CBOE Vector, as stated, it's included in our guidance for CapEx as well as core expenses. But it wasn't there in the guidance that we came out with three months ago. So we got there by cutting other things. I can't be specific about what the cost of vector is, but what I can tell you that it's included in the guidance. It's a multi-year project. And in 2016, the two items that will be impacted most by CBOE Vector, our CapEx and depreciation and amortization. So as we rollout CFE in the second half of 2016, the amortization of that project will begin. And CapEx for 2016 will obviously include the continued support of that project. And at this point, I would guess that we'll be somewhere in the $40 million to $50 million range for CapEx in 2016. Although, at this point, it's a guess on my part, but from where I see that's what it look, or stated differently, I think it will be slightly higher than this year, but slightly lower than last year on a CapEx. Cash generation, no change in cash generation our approach to capital allocation. So invest in our business as we need to, to ensure our future growth. Dividends, want to see those dividends grow their business, followed by stock repurchases, and that's our preferred method of returning capital to shareholders. But I'm not ruling out other things. We've done special dividends in the past even a tender a few years ago. So I won't rule out any approach to capital management. And as a matter of fact, the continuing stories don't hold on to shareholder cash, return it to when we can.
Edward Provost: Let me just add a little bit of color, since you went back to the CBOE Vector. This is something we've been doing preliminary design work for over a year, and we're very excited about our progress. It's going to be a completely new systems architecture design from the ground up to accommodate or growing proprietary product line and the ongoing evolution of market structure. So our technology people can be more excited about what we're doing. In fact, we've challenged that step to build a best-in-class trade engine that emphasizes increase processing speed, while improving upon what we think to be an already leading industry functionality. Specifically, we're going to be focus on increasing risk monitoring tools, provide a more efficient processing of quotes and trades, and providing increased systems stability, which seems to be such a hot topic across the industry these days. As Ed mentioned in his opening remarks, we're going to begin this with a rollout second half in our all electronics CFE. Following that, we will implement this in CBOE and C2. And in CBOE, we will be adding the necessary functionality to accommodate our hybrid market model. We have handpicked within our current systems staff some of our sharpest developers to begin this project, and we have gone outside and brought in some very, very skilled people, who have experience into developing advanced trade engine technology. But probably as important is that we are committed to maintaining the CBOE Command platform as we will be using that platform for the next couple of years at least in the exchanges, which are not yet going to be going on the CBOE Vector. So we're very, very excited about our progress to date and where this will take us.
Edward Tilly: I think that's balanced approach, but I think for all of you to look inside of CBOE, we've been so excited to bring new products to the marketplace, and that's really how we view innovation and we really relied on a system that has served us so well. And to really unleash these tech guys here, who have been just dying to do some stuff and cutting edge and change the industry, this is an amazing opportunity for us. And Ed said, we're going to rely on the in-house expertise. Of course, Alan is going to be watching the checkbook, but this is really exciting, and the early architectural returns are really cool. I cannot wait to give you updates on the next calls on how this is coming along, the excitement from when we unleash this to our end-users and allow them to give their input on what's going to make the mix of our cool unique products with a system that's unmatched in the industry, so it's really exciting stuff, but Alan's got the eye on the deliverable for sure.
Operator: Our next question comes from Alex Kramm of UBS.
Alex Kramm: Maybe just on the expanded trading hours, a little bit more detail on what you've seen so far, since the options rolled out? Who is trading? What have you learned? And also how that's different from the futures rollout, I guess, last year?
Edward Provost: Yes, it's very much what we had anticipated. So as you know, and we've talked about in the past, we anticipated and saw a pretty quick development on the futures side, because the futures world was much more accustomed to 24-hour trading. Securities side of our business, not quite as a custom. However, we've seen very good success in our 2 A.M. to 8.15 A.M. session, averaging about a thousand contracts a day, across both our VIX and SPX products. This better be the option products. And we are seeing even in the last couple of weeks, additional large broker dealers finalized their operational efforts to try to get prepared for this. So it was a bigger effort on the part of the broker dealer community than there was on the futures side, and getting prepared for this. We moved ahead notwithstanding some of those not being fully prepared and they are coming online. So we are seeing a good number of small trades, so the volume that I've represented doesn't represent two or three large trades, but rather a good number of small trades making up those thousand contracts. So we're just in Europe with our sales team. A lot of very positive comments about interest in trading these products, so we couldn't be more pleased.
Operator: Our next question comes from Ken Worthington of JPMorgan.
Ken Worthington: So I want to follow-up on Vector. Can you give us some more details on the enhancements and specifics on the platforms? So how do transactions piece change and any other quality metrics? How do you expect Vector to compare to kind of the metrics at other exchanges? How does risk management change? How does maintenance cost change? Like just a little bit more, so we can fully understand or maybe better understand, how big a deal this can be and what it could mean for CBOE?
Edward Tilly: So the system's architecture is key. So our CBOE command platform, which is a derivative of CBOE Direct, which we originally designed in the early 2000, was based upon what at that time was the most advanced architecture that the industry knew. And we believed at that time and for many years that was the leading trading platform in the industry. As time has moved on, we have made substantial modifications to that, both enhancing the hardware and the software, adding functionality, the leading functionality, adding risk management tools, which are in place today. But as you continue to build on a system that was originally designed some years back, you lose a little bit of the efficiency, because the path of orders enclosed through the system is not as direct as you would like. So there is a certain layering of, and I want to get over my skews in terms of the technology, but there is a certain layering that exists in the original architecture, which we are trying to eliminate, so that the path of message traffic through this system is much more efficient. So that drove our decision to rather than continue to refine and enhance our current platform to really start from scratch. We would expect, and again, at the end of the day, once the system is built, we'll see if our proof-of-concepts play out. But we have expectation that our system speed will match, if not exceed, all of which is in place today in the industry. And most importantly it will eliminate any caps that may exist in the current technology. Risk management tools, which again, we have experienced, was because we've incorporated those in our currently technology are constantly evolving. We've made modifications to the first risk management tools that we put in our system many years ago. And by being able to build those into a new system, we think we'll be able to enhance those. So we're very optimistic on both, performance, functionality changes. It will be easier to change our system, when the market model changes. Although we are currently planning on our market model, as it exist today, but we'll be able to make modifications in the new system in a much more easy and efficient way, given the way we are designing it.
Alan Dean: And the cost side, the way we're looking at this is, while the project is underway, while development is underway of Vector, we'll have double maintenance, if you will. So I'll have programmers, developers, not only maintaining command, as you heard Ed say, we're committed to do, but we'll have other programmers developing the software for CBOE Vector. But all those costs are included in our guidance that I gave you. So I think we're doing a pretty good job of managing that. Now, looking forward, there is a software for each new exchanges rolled out. I expect our maintenance cost, and I don't mean hardware maintenance, I mean developer maintenance of the system, how long it takes to make changes to the system, how many people you need devoted to maintaining the software of each exchange, I expect that to decline. I can't put numbers on that right now. I don't think it would be fair for me to do that. But as I get clarity on that in the future, I'll point it out. But we won't see that for -- it will start in 2016, and really the significant savings won't happen until well after that. So overall from a financial point of view, this is no brainier as far as I am concerned.
Operator: Our next question comes from Alex Blostein of Goldman Sachs.
Alex Blostein: So just a follow-up, I guess, a question on expenses. When I think about the trends in the P&L over the last couple of years, you guys are essentially keeping the core expenses flat year-over-year, up only looks like low single-digits versus 2013, which is great of course. But when you kind of take a step back, and Ed, taking your comments on the increase in cyclicality, I guess, for the VIX product, and your need to investments in new strategies and new products, and today you guys are doing I think a lot more on the new product from than you did a couple of years ago. I guess the question is how sustainable is the current kind of flattish expense backdrop for the firm as a whole, not just for this year, but I guess for the next couple of years?
Alan Dean: It's a good question, absolutely. Our stated goal on core expenses is to hold the growth, the rate of inflation 3% to 5%. And I think we've done a pretty good job at that. So it's not flat expense. But at the same time, this volume that we're seeing now is not new. We had a similar downturn last summer and a couple of years before that, we've reacted the same way each time we've caught delayed expenses, reduced expenses, where we can. And sometimes those expense reduction stick and will follow into the following year and sometimes because it's only a delay in expenses, they don't. We're not holding back on anything on any expense item. We need to spend the money. We're spending the money to ensure our future growth. No doubt about it. Same goals in CapEx. So 3% to 5% of growth in core expenses, I think is a reasonable goal and even given our marketing goals.
Operator: Our next question comes from Christian Bolu of Credit Suisse.
Christian Bolu: Just a quick follow-up on the decline in VIX options. And as you noted, you've done lots of analysis on drivers here. It'd be useful for us to get a sense of maybe changes in trading strategies over time. Maybe what was the most popular trading strategy on the VIX options in 2014 and how has that changed so far in 2015? I ask the question, because we hear that activity in yield enhancing trading strategy seems to be on the decline a little bit.
Edward Tilly: I think there are a couple of factors. If we drill down above the overall complacency in the market, what has changed? And I think the end-user from that perspective, VIX options specifically were in amazing tail risk hedge. And if you look at the first few months of the year, a little different story over the last month I'd say, the higher vol-of-vol. So the cost of using an out-of-the-money VIX call, let's say, the 30 delta call, which is a perfect tail risk hedge, last year in an environment where the volatility of VIX calls was roughly 60 or 70. In February that volatility was 110, 120. So the cost for that tail risk hedge, as measured by the price of a 30 delta option in VIX, was extremely expensive when looking at 2014 levels. So we lost that hedge. We would look over in the SPX, and we might assume that they showed up in the SPX, where that volume was up on the quarter. But certainly they did not show up in a big way in VIX option. So that's one player that didn't show up. The ones that were there that we're actually hedging using VIX, unlike 2014, where we would see a downturn one day likely followed-up the downturn for a number of days. The ability to monetize your hedge in 2014 was much easier than the choppiness that we see this year. So take yesterday as a perfect example. Markets down at 1 point, 15 to 20 S&P 500 points, no one thought they'd come in today or the sentiment is, not expecting to come in today and seeing a follow-through. Well, sure enough, markets up again. So it's very, very difficult to monetize a hedge this year compared to last. There's just not that long-term expectation that we're entering into a sustained bear market or out of the slow grind-off that we're seeing today. So those are kind of the two primary differences. And I think all of that is important to recognize that trading hasn't stopped in VIX. It's just down from 2014, which was a great year. So what do we do, we get back to the Street, we continue to teach and tell the story, knowing that expectations over time will change, macroeconomic drivers will change and the utility of VIX will certainly be back in the marketplace. And what we plan on is with a bigger user base that's more well-informed, and we'll have seen another different market as backdrop and their ability to use VIX going forward.
Christian Bolu: So just on your point about the high VIX or VIX being headwind from a cost perspective, dose that change how you think about what the ideal conditions are for VIX trading, in terms of the absolute levels of VIX and then the levels of VVIX?
Edward Tilly: Can you just say that one more time?
Christian Bolu: I'm just trying to get a sense, I think historically you've said, it could be wrong here, but VVIX over a 100 tends to be a good trading environment and VIX around 18 tends to be a good environment. Does this change the way you think about that?
Edward Tilly: So two different numbers. So VIX at 18 still pretty good, that's pretty much a sweet spot. We like that. But vol-of-vol, which is the measure of the volatility of VIX option, so if you take our same VIX methodology and you overlay that methodology on VIX options, and we look at the vol-of-vol, that actually gives you the relative price, real-time prices. What our users are willing to pay for VIX options exposure that became very expensive in the first quarter. Now, that's a good driver, high vol-of-vol of VIX futures. Our VIX futures are really only down similar to the industry's average. So I think that higher vol-of-vol really help support the VIX futures trading, but it really made VIX options much more expensive.
Operator: Our next question comes from Brian Bedell of Deutsche Bank.
Brian Bedell: Ed, maybe if you can comment a little bit more about some of the transitioning and the over the counter we're hearing that as well, there is some substitution effect, that you did mention, obviously the benefit of the laying off the risk on the listed market. Do you view that as a one-for-one-type of substitution or is there something else that's driving the OTC trend that could be unfavorable from the listed perspective?
Edward Tilly: We certainly recognize that there is OTC trading of VIX options, just like these OTC trading in SBX and other index options and ETPs and single stock. And we maintain and have been very vocal that we prefer all trades to go with markets and exchanges where investors can benefit from transparency, competitive price discovery, the potential of a price improvement, whereas OTC is not subject to price discovery, price improvement or trading reporting functions. We have heard reports that it might be cheaper to trade VIX op exchange, that's your substitute idea. But since the private transactions OTC, it's kind of difficult to speak directly to the all-in cost of trading OTC, since every trade is negotiated separately and kind of priced differently, so are our fees all-in, are they part of the bid spread, it's very, very difficult to look at a bundled OTC fee compared to listing. So we do see and hear that there is definitely OTC trading in VIX, but again I think in the prepared remarks I pointed to, we benefit from that layoff business. I'd love a big OTC VIX market. Unfortunately, it's shrinking as well. The utility of an OTC VIX is no different then that of the utility of listed. So we've seen that OTC volume decline. And obviously then the layoff business that we would benefit from in the listed market declines as well. So we have definitely heard those comments, but unfortunately that volume is shrinking as well, so nothing new really to report on how we benefit from OTC trading.
Brian Bedell: And then just as you were asking, answering that last prior question on the monetization of the VIX hedges, how much do you think you need the cost of volatility to go down from sort of current levels to make that monetization?
Edward Tilly: Now, the cost of volatility is actually down. So VIX is down from where it was in February and the beginning of March. As I say, we're up on that 120, 115, 120 area. So that part is cooperating. But what's not, as again, I look through yesterday, there is no long-term worry, there is no long-term concern on the macro U.S. market right now. And again, would love to, not looking forward to seeing fall through on a down day, but its certainly the expectation of our traders that, I'll just show up the next day and everything will be back to normal, and sure enough that's what's going on this morning.
Operator: Our next question comes from Rob Rutschow of CLSA.
Rob Rutschow: Most of my questions have been answered. I was just curious about the -- it looks like the $30 million loan to an affiliate. Could you just tell us what that is and what the reserve is for?
Alan Dean: The investment at OCC. You want to know what it is. Rob, you broke up a little bit.
Rob Rutschow: What the loan was for and does that impact capital return in anyway this year?
Alan Dean: So yes, we did send $30 million order to the OCC as a part of their recapitalization plan, that rule that they followed is still working its way through the SEC. No, I don't expect any impact, any change in either the level of capital return to our shareholders or how we approach things, no impact at all, and so non-event as I far as I am concerned.
Operator: Our next question comes from Chris Harris of Wells Fargo.
Chris Harris: Wondering if you would comment at all on how deep the VIX customer pool is? And I guess, the reasons I am asking is kind of curious about whether the minor pullback we've seen is broad-based among a lot of different users, and traders and customers or is its been fairly concentrated among kind of the few large players?
Edward Tilly: A couple of ways, we have seen very, very large traders not participate after expiration in January. Those are the big, big traders. I mean, multiple 100,000 contract prints, and they were out of the market after the January expiration. Now, interestingly, about a week-and-a-half ago, we saw one of those large traders come back in a very, very big way. You may have seen the headlines. This was 500,000 or 600,000 contract trade, so that was the first time that large trader has come back. And again, we point to a change of market conditions. We went to pricing of those options that this guy uses and finds it useful, and that we can look at the cost of that insurance and the cost of that upside protection as one of those drivers. But as I said, first return about a week-and-a-half ago in a very, very big way. What's also changed is the utility that those from the credit market have found in using the term structure of VIX as a hedge for their exposure. That went away right around that flatness in the volatility curve coming out of that first quarter and that first earnings call of the year. So that trader hasn't come back either. But the big guys, first return encouraging, as I say, about a week-and-a-half or two weeks ago, and that's a very, very big deal. The rest of the users we do see the assets under management in the notes that are sponsored by major financial institutions. Those investments are up. And as a result, again, I think one of the causes for our VIX futures volume to just mirror the decline that the rest of the industry has seen in the first quarter, so little different answers depending on product and depending on users. What we need to do is really push out the strategy into the pension funds and the insurance industry and reeducate on, okay, the price of insurance now is back to normal levels, the volatility surface looks like it did in the middle part of last year. But again, it is managing the overall complacency in the market in general.
Operator: Our next question comes from Neil Stratton of Citi.
Neil Stratton: I just had a question for Alan on expenses. You mentioned the ability to flex your spend up and down depending on the backdrop, so the question is what timeframe would you need to either tighten or loosen the string, so to speak. And just for example, if you were to go another three months with a tough backdrop, would that be the time to sort of rethink about the spending outlook?
Alan Dean: There is not a timeframe. It could be next week, it could be next month. Actually it's continuous. We always look at expenses. And what we look at is volume, volume trends, product mix, those things that affect our revenue. We have been responsive before on the expense side, as you mention, and when we see lower volume, and that behavior will continue, and the line items that were impacting our employee costs, professional fees outside services travel, and promotion. We look for items that could be scaled back or delayed. And we are looking for a short term solution to what I view is a short term problem, and so no timeframe. If its really horrible volume, it'd be sooner. If it's mediocre volume, probably push it out a little bit, or it's really dynamic. But the commitment to watch expenses is there.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Debbie Koopman for any closing remarks. End of Q&A
Deborah Koopman: Thank you. That completes our call this morning. We appreciate everyone's participation and your interest in CBOE. I am available all day for any follow-up questions you may have. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.